Operator: Thank you for standing by, ladies and gentlemen. Welcome to the Safe Bulkers Conference Call to Discuss the First Quarter 2018 Financial Results. We have with us from Safe Bulkers, Chairman and Chief Executive Officer, Polys Hajioannou; we have President, Dr. Loukas Barmparis; Chief Financial Officer, Konstantinos Adamopoulos; and Chief Operating Officer, Ioannis Foteinos. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] Following this conference call, if you need any further information on the conference call or on the presentation, please contact Capital Link at 212-661-7566. I must advise you that the conference is being recorded today. And before we begin, please note that this presentation contains forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, concerning future events, the Company’s growth strategy and measures to implement such strategy, including expected vessel acquisitions and entering into further time charters. Words, such as expects, intends, plans, beliefs, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. Although the Company believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove to have been correct. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the Company. Actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause actual results to differ materially include, but are not limited to, changes in the demand for drybulk vessels, competitive factors in the market in which the company operates, risks associated with operations outside the United States and other factors listed from time-to-time in the Company’s filings with Securities and Exchange Commission. The Company expressly disclaims any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in the Company’s expectations with respect thereto or any change in events, conditions or circumstances on which any statement is based. And I now pass the floor to Dr. Barmparis. Please go ahead, sir.
Dr. Loukas Barmparis: Good morning. I am Loukas Barmparis, President of Safe Bulkers. Welcome to our conference call and webcast to discuss the financial results for the first quarter of 2018. The first quarter of 2018 was a profitable quarter. We continue our efforts to improve our capital structure. On February 20, we redeemed about $9.5 million of preferred dividend outflows. [Ph] We will be focusing on the following quarters to deleverage, further reduce our financing costs and lower our breakeven point. Let’s now continue with the developments in our industry. Turning to the slide three, we demonstrate the overall improved charter market in 2018 compared to 2017. Charter market for Panamaxes has over-performed throughout 2018 with a year-to-date average improved by about 26%. For Capes, the market has proved to be much more volatile but still is over-performing 2017. The year-to-date for Capes reflects an increase of about 11%. The improvement in both sectors comes despite the developments in the global freight and the fears of the trade war, which had been a headwind for the market growth. Recent news on putting tariffs on hold is expected to restore the normal flow of trade. In the next slide, four, we present the supply outlook for Panamax, Kamsarmax and post-Panamax segments. In this segment, the total fleet consists of about 2,507 vessels, with the total current order book is about 246 vessels or 9.7% of the total fleet, evenly spread and until 2020. We also note that there are about 468 vessels which are older than 15 years old. Despite the notable increase of contracting during Q4 2017 and the beginning of 2018, newbuilding activity has now come to an end. We think that the uncertainty in relation to trade war, increasing newbuild prices, lack of availability in CVS [ph] for early years and financial reasons will remain -- will maintain a reasonable order book for the near future, giving an opportunity to the market. Taking into account the upcoming regulations of ballast water treatment and NOx and SOx requirements which are to be enforced until 2020, scrapping activity might accelerate in the years to come. Let me remind you that recently we have entered in agreement for all our vessels to install ballast water treatment system of full flow electrolysis, which has received the United States Coast Guard approval, unlike several peers who have systems without yet the relevant approval. In slide five, we present a technical analysis with the comparison of the Panamax charter market and the Baltic sales and purchase assessment of five-year old Panamax vessels. As shown in the graph, there is a constant differential between the asset values and the moving average of the charter market. This pattern is distortive. Sustainability in the charter market and restoration of the sentiment is expected to push asset values higher. They key takeaways are presented in slide six. Charter market especially for Panamax is constantly over-performing 2017. Trade war fears had been a headwind for the market in Q1 2018, although uncertainty helps the rationalization of order flow. Recent news of putting tariffs on hold is expecting to restore trade flow. Increased newbuilding activities of Q4 2017 and early 2018 has now come to an end. Single digit order-book is evenly spread until 2020. Sustainability in the charter market is expected to gradually push asset values higher. Future additional newbuild orders remain always a risk. New regulations in relations to shipping are expected to slow down the entire fleet and push scrapping higher. We believe that the overall the prospects for global growth remain positive. In slide seven, we present some financial data on a quarterly basis. Our quarterly revenues and our adjusted EBITDA have been constantly increasing, thus improving our overall financial strength. This fact is also demonstrated in slide eight where we present our adjusted EBITDA on a per vessel basis. Our strategy of maintaining low cost structure provides us with a very distinct advantage of making profits earlier than our peers. We present in slide nine our daily free cash flow waterfall for the first quarter of 2018. During 2018, we continue to be profitable, maintaining one of the most competitive breakeven points in the industry. We earned about $12,000 and spent [ph] about $9,500 a day per vessel. For all our outflows including operating, G&A, interest, preferred dividend and principal repayments. Our daily free cash flow stood over $2,600 per day per vessel. In 2018, we paid delivery of our MV Pedhoulas Cedrus, our last Kamsarmax class Japanese big vessel, which as shown in slide 10, will be financed from cash on hand and mainly from issuance of preferred equity to an affiliated investor as we have already disclosed previously. Moving on to slide 11, we focus on increasing our liquidity and use it to deleverage our Company. In terms of using liquidity during 2018, we have redeemed all the remaining outstanding Series B preferred shares on February 20, 2018 and thus reduced our outstanding preferred by about $9.5 million and the related outflow on an annual basis of about $0.8 million. We will continue to use our cash from operations to further improve our capital structure, deleverage and create intrinsic value for our common shareholders. Now, our CFO, Konstantinos Adamopoulos, will present our quarterly financials.
Konstantinos Adamopoulos: Thank you, Loukas, and good morning to all. Let’s now to move to slide 12 with our quarterly financial highlights for the first quarter of 2018 compared to the same period of 2017. Net revenue increased by 31% to $43.5 million from $33.3 million, reflecting the increase in charter rates. Our time charter equivalent per vessel increased by 27% to $11,999 per day from $9,417 per day during the same period in 2017. Daily vessel running expenses increased by 15% to $4,132 compared to $3,596 for the same period in 2017. Daily general and administrative expenses which include daily management fees payable to our managers and daily administration costs, increased by 2% to $1,184 for the first quarter of 2018 compared to $1,056. Our adjusted EBITDA for the first quarter of 2018 was $23.2 million compared to $15.2 million last year. Adjusted earnings per share for the first quarter of 2018 was $0.03, calculated on a weighted average number of 101.5 million shares as compared to adjusted loss per share of $0.07 during the same period in 2017, calculated on a weighted average number of 99.3 million shares. In slide 13, we present our quarterly fleet data and average daily indicators compared to the same periods of last year. Liquidity in a cyclical industry like ours is a key. And in the next slide, I will show you what we have achieved in this respect. In slide 14, the dark blue bars show that effects we have achieved by our cost cutting efforts were sustainable during the last two years. The light blue bars represent our time charter equivalent and show our constant improvement from the lows of early 2016. I will note that our OpEx numbers include all items like drydocking and initial supplies. At this point, I would like to emphasize that we have positive operational cash flows of $20 million for the first quarter of 2018 as compared to $10.2 million for the same period in 2017. Overall, we believe that the Company with ample liquidity, positive cash operations and controlled outflows for investing and financing activities is well-positioned to take advantage of improved target market conditions. Thank you very much. And now, we’re ready to take your questions.
Operator: [Operator Instructions] So, your first question from Evercore comes from the line of Jon Chappell. Your line is open, sir.
Jon Chappell: Thank you. Good afternoon, guys. Few questions for you today, Loukas, first on the theme of deleveraging which you mentioned in your comments a couple of times and in the press release. Just as we think of prioritization, you were able to redeem all the Series B shares, which obviously helped your cost of capital. When you think of deleveraging the Series C and Series D preferreds high in your list or you are just thinking about repayment of bank debt?
Dr. Loukas Barmparis: Look, what we have in order and we follow this order from expensive -- from the most expensive financial outflows. So, I think that at this stage, we have added financial outflows, still which needs to be refinanced before the preferreds.
Jon Chappell: Okay, understood. And then, second question multiparts but hopefully quick. The ballast water treatment that you mentioned and the Coast Guard Approval, I think which is very important. Can you give us feeling for just the timing? So, what’s the schedule as far as number of ships per year? What’s the off hire times associated with each ship in the fitting of ballast water treatment system, the cost per ship? And then, will that cost be expensed or amortized?
Dr. Loukas Barmparis: Of course, it will be amortized. I think, this is a suitable treatment for accounting when we do an upgrade of a vessel. The second point is that -- I need to draw a line and put to see a little bit further. Most of the companies, which have already installed, they are newbuildings. Ballast water treatment plants, and as we know, most of the ships are produced in China or Japan get the manufacturers of these systems and sometimes they’re quite far away, they have not -- get the approval of the U.S. Coast Guard. So, to claim that you have just installed ballast water treatment in your newbuilds doesn’t say anything. The issue is that whether this system is approved, not only by IMO, because most of the systems have been approved by IMO but also from U.S. Coast Guard, in which case, if you don’t have that approval, will not be able to visit the United States from certain period onwards. Now, let me tell you couple of things about timing. The timing from U.S. Coast Guard was September 2016, I recall well. And in the next dry docking, all ships, they should install ballast water treatment. Presently, at the initial stage, 2016-2017, U.S. Coast Guard gave deferrals to many ships for future years including -- the reason basically was that they adopted -- haven’t approved substantial amount of systems to be installed. This has stopped last year. And from that point on, all the vessel that do dry-docking need to do -- to get to install the ballast water treatment. So, we believe that ships that dry-dock in 2019, they need to install such system, because we have not seen too many deferrals for 2019. This would cause a problem in the market because in the shipyards because there will be so many ships to be -- so many systems to be installed. The second point is that the downtime will be substantial as vessels need to install these systems. The cost, okay, you asked me about the cost. I tend to believe that a normal duration, depending on the systems between 2 and 4 weeks time in total including the dry docking based on the shipyard, based on what the vessel needs to do. The last question about the cost, it should be between -- should be about $500,000 to $700,000 for most of the systems, depending also on the technology. So, I think that I answered most of the questions. If there is anything else?
Jon Chappell: Most of them, very thorough. Thank you for that. And just a final thing was just year schedule on the 40 ships in your fleet, how should we think about 2019, 2020, 2021 dry-docks associated with this?
Dr. Loukas Barmparis: What was the question?
Jon Chappell: For your fleet, the Safe Bulkers fleet, how many ships will be undergoing this ballast water treatment into 2018, how many in 2019, 2020, 2021?
Dr. Loukas Barmparis: Look, already we -- I mean now in -- I mean, beginning of June we finished with the installation of three ships, and I think this year we have something like four to go. So, you may assume that about seven to eight annually we’ll be installing ballast water treatment as we move from 2018 until 2023.
Jon Chappell: Okay, perfect. Thank you, Loukas.
Operator: Thank you very much indeed, sir. Now your next from Citi comes from the Chris Wetherbee. And your line is now open, sir.
Chris Wetherbee: Yes. Hey, thanks. Good afternoon. I wanted to start on the cost side, so specifically around daily OpEx, which is up 15% in the quarter. I see the run-rate from last year, I guess 1Q was probably the low watermark. So, is it type of increase indicative more of the tougher comps that you see in the first quarter and then we would expect a year-over-year growth rate and some of the cost cross line items is sort of normalized or at least slow down or are we sort of in a process of a step up? What’s causing the inflation there? I just want to make sure I understand what the go forward sort of view is for daily OpEx.
Dr. Loukas Barmparis: Yes. Look, there are several parameters; there are several things that play a role in the cost. One is the number of dry dockings per quarter or if there are certain spares that have been ordered that quarter. So, we need to see let’s say the annualized figure more in order to understand the level of inflation. I think that there is a level of inflation in the course, which I don’t believe, I mean it -- our expectation is that our cost will be at that rate that we see today.
Chris Wetherbee: Okay. So, 5,300 on an all-in including OpEx and G&A is probably the right number if you’re thinking about as we move forward through 2018?
Dr. Loukas Barmparis: Yes. It should be about the right number. Of course, it also -- it’s an issue of dollar to euro exchange, from where do we buy second spares, what are our costs. But, I mean this is a reasonable figure to consider.
Chris Wetherbee: Okay. And just again, I just want to make sure I just completely understand, a lot of moving parts in there, but it sounds like there is some inflationary aspect. Is that on the crewing [ph] side or is it some other part where we’re seeing inflation on the cost side?
Unidentified Company Representative: Yes. Look, hi Chris, the cost is affected to certain extent from the increase of oil prices, because you see cost of lubricants, cost of paints, cost of certain supplies going higher. In 2016 and 2017, we enjoyed the benefit of as far as the OpEx were concerned, the benefit of the low oil price, which of course was $30, $40, and now it’s almost $80. So, a good element is coming from there. We don’t see yet any inflation on crew wages, a big inflation; it’s only a minor one. So mostly it’s associated with new regulation, it’s associated with the spare parts for dry-docking, it’s associated with the increased cost of lubes, and paints and other things that contain oil.
Chris Wetherbee: Okay. That’s helpful. I appreciate that color. And then, I just wanted to follow up. I’m looking at slide five in your deck where you run through the five-year asset values versus I guess short-term in charter rates for Panamaxes. And I guess, two questions. Number one, should the relationship be -- or you are suggesting a relationship is with the shorter rates or the time charter rate and asset values? And then, the second question would be assuming that there will be a gradual uplift in prices asset prices, how are you guys going to leverage that? How you prioritize potentially getting in the market whether it’d be on the second hand side or newbuilding side to kind of take advantage of potential asset price increases? And how do you balance that versus deleveraging?
Unidentified Company Representative: Yes. We think that asset prices in general, they are under -- still undervalued, prices of ships are undervalued. You can clearly see that in 2014, in the beginning of 2014, we had about the same one year period rates. The assets prices of five-year old Panamaxes were around $7 million higher. Of course at the time, there was a lot of confidence in the market and a lot of expectation. But as oil price was heading to new highs that also ship values will follow, freight market will follow. And asset values will continue to rise. At the moment, the market due to various external factors is not having the same confidence yet. When this confidence is built over the next few quarters, we believe that asset prices will start rising, at least by another 20 to 25%.
Chris Wetherbee: Okay. And how are you guys going to get involved, how do you want to take advantage of that? Is there other purchases will be made?
Unidentified Company Representative: No, we monitor second hand opportunities. We’re not going to do newbuildings. As we said, we need to see huge increase in the profit, big increase in the profits before we consider newbuilds. And also newbuilds we don’t find yet the yards in a mood that they are very cooperative with as far as the new regulations are concerned. So, we are not going to bother with ordering ships that they are out of date. Most of the ships ordered in 2017 were with the past regulations, the tier 2 engines and not compatible with certain regulations. So, we believe that our Company will focus when we feel that there is a good opportunistic acquisition in the modern second hand market.
Chris Wetherbee: Okay. That’s helpful. Thanks for the time. I appreciate it.
Operator: Thank you very much, sir. Your next question from Stifel comes from the line of Ben Nolan. And your line is now open, sir.
Ben Nolan: Thank you. And just first, I wanted to start with a little bit of market related color. And I appreciate that you guys really understand charter market. But, we had begun to see some signs of strength even a month ago. And then lately it’s kind of pulled off. And that’s been the trend as of late as the market rises a bit and then it kind of loses some steam. Just curious, what if you can sort of -- if there is anything you can identify, what’s causing the sort of latest round of softness? And ultimately how close you think we are from breaking out from that sort of up and down trend to get to something that’s a little bit more sustainably higher?
Unidentified Company Representative: Yes. Despite the first quarter and the fourth quarter of 2017, first quarter of 2018 were profitable quarters, overall the development in world trade was disappointment. And the tariffs that were imposed by the U.S. and the threat of an escalation had a heavy fall in this confidence about world trade and economic activity. We believe that as the risk of a trade war subsides, we will see the prospects in second half improve. And considering that second half usually nine times out of ten is a strong half of the year when all the biggest move on the imports are done by the major economies, we believe that the market should start outperforming in the next few months, maybe starting from June or July or at latest August or September. And there is a prospect that the market develops into very positive territory in 2019 and 2020. As Loukas mentioned before, new regulations are coming in 2020 are going to slow down the entire fleet because the entire fleet has to shift into low sulfur NGL, which is costing -- will be costing 600, $700 a ton. Whilst the very few owners that would opt for the installation of scrubbers, they will be out of hire for a long period of time completing to install the scrubbers in yards, mainly in China. We are becoming more optimistic for 2019 and 2020.
Ben Nolan: Okay. To that end, since you brought it up, I know that you guys have -- or I believe that you haven’t really taken any steps with respect to scrubbers thus far. Has there been any development there so far as you’re concern or any thoughts about actually retrofitting any of your assets?
Unidentified Company Representative: Yes. We are examining all options and we are trying to see where the best options are. As you remember, our type of vessels are not the biggest ones, are not the Capesize. We have very few Capesize in the fleet, where it’s more attractive to install those scrubbers. But we are in line with the developments with the know-how of what needs to be done, if the Board takes a decision to go ahead with project and we follow the developments, we may move at a later stage. At this point, we just monitor that technology development.
Ben Nolan: Okay. And I suppose that if you were to be something, it would be around special survey date, theoretically. Any color sort of what -- as to sort of what that -- your schedule for special surveys of dry-docking looks like over the next 18 months or so?
Unidentified Company Representative: Look, it’s evenly spread; it’s 40 ships. The cycle is five years. So, we use the average of eight ships a year, you are about right; in one year maybe 9 and the next 7, not huge difference from this.
Ben Nolan: Okay. Now that’s helpful. I appreciate. Thank you.
Dr. Loukas Barmparis: If I may add something, it’s not straightforward such a decision for a Panamax or Kamsarmax vessel. Each company will do its own assessment. It’s not straightforward because you have let’s say, the downtime; you have let’s say, substantial cost; and you take the risk from investment in the hope that the margin will be a substantially larger. On the other hand, [indiscernible], which is just to use let’s say low sulfur fuel oil, which we believe it will exist and will be widespread, will be also solution for most of the vessels. And what is our best assessment is that this margin will quickly deteriorate. So, mainly the MGO and the low sulfur fuels will substitute for the use. And only a few vessels will be installed with scrubber, especially the larger vessels, like let’s say tankers and containers, only few drybulk vessels. But this is equation which is each company will do own its own merits and its own assessment.
Unidentified Analyst: Okay. Now, I appreciate that extra color. Thanks.
Operator: Thank you very much, sir. Now, your next question from Maxim Group comes from the line of James Jang. And your line is now open, sir.
James Jang: So, for the rest of the year, do you expect to see any sizable premiums for the post-Panamax and Kamsarmax versus Panamax...?
Unidentified Company Representative: The post-Panamax are greatly affected by the move of the Capesize, when Capesize market is performing, which at the moment it is not, post-Panamaxes are getting a premium. Now, if in the second half of the year, we traditionally have a push of Capesize rates, if this happens this year as well, we expect post-Panamax rates to perform in a similar fashion. So, it’s all down to the Capesize market where the post-Panamax can achieve better than the Panamaxes. Generally, the Kamsarmaxes, they earn a premium over the Panamaxes, if you know 5% on the charter rate.
James Jang: And then going on to the macro side, it seems, there is a low demand for thermal coal in India right now. And there is also high stockpiles of coal in southern China and eastern China. How do you see the coal market playing out in terms of rate for the rest of the year? Do you think there is going to be a drag on the sector?
Unidentified Company Representative: We see enough movement for to India. We are not disappointed by the movement into India. What we are disappointed in the last two months is the development of the East Coast South America market, which is affected by certain strikes in Brazil and also big problem with the rains in Argentina. So, together with the ban of the certain [ph] cargos from U.S. that we had in April, all this resulted in a very low Atlantic market. So, at the moment, I mean, the ships are performing reasonably well in the Pacific and terribly in the Atlantic. And this was not in the scenario at the start of the year. Usually Atlantic is very strong at this time of the year, between April and June when is the export season of the East Coast of South America. We’re not seeing it at the moment, we’re seeing problems there, and this is keeping -- you need both bases to perform in order for the market to move higher.
James Jang: Okay. Do you have any more insights into the Brazilian truckers’ strike? I mean, have you heard any news of that resolved shortly?
Unidentified Company Representative: It’s still going on from what we know. We’re expecting that it would take few more days or a week or two weeks to be clear when this will end. So, fact of that is really beyond the ship owners’ visibility, what’s happening in Brazil.
James Jang: Okay. Got you. All right. So, my next question is with asset prices -- it was on slide eight, I believe -- slide five, you show that the asset prices are lagging behind ‘14. Pretty much ‘14, we had the same sentiment, positive growth outlook for the drybulk sector. So, do you have an appetite for further vessel acquisitions and would you look for larger en bloc fleet purchases?
Dr. Loukas Barmparis: Look, the bigger acquisitions and larger acquisitions, you need to have more meaningful profits. We don’t want to increase debt and buy ships from increased debt. So, it will all [ph] depend in the market; it will start seeing -- have start fixing ships for one or two years at more profitable rates, this will give us a visibility of earnings, maybe we’ll go and buy some more ships. So, I think that prices overall are attractive levels at the moment, at attractive levels. You need to as a Company to see the whole, the big picture and not to add leverage before you get good rates in the freight market. At the moment, the rates in the freight market are profitable but not enough to generate certain liquidity for further expansion. Maybe I think one or two ships here and there but that’s the best policy for the time being.
James Jang: Okay. And my final question is on the Capes that you have. What is the long-term plan for those? Do you plan to keep them once they come off charter or would you market them and focus purely on the Panamax sector?
Unidentified Company Representative: No. We will keep them. Of course, we will keep them but still we have around four years from the earliest one and the six the other one and 14 years last one. So, it’s a very long period of time to discuss what we do with those. But I think that the target is to keep those ships but at a certain point, possibly to replace them. But so long the charters are going, to stay what we will do in 2022 or 2025 or 2031 is too early.
James Jang: 2031 is too early. I just had one last question. So, the Koulitsa was on charter until April 2019 previously, correct?
Unidentified Company Representative: Correct, yes.
James Jang: So, what happened? Is that off charter now?
Unidentified Company Representative: The three ships you don’t see the charter rates there is the ships that they are in dry-dock and they are passing their [indiscernible] now; and then, also this system that Loukas just mentioned, ballast water treatment. So, what we…
James Jang: Okay. And once they come out, they will be rechartered, right?
Unidentified Company Representative: Of course they will be rechartered, they came down. What we did with Koulitsa, it has a year of -- an extra year to perform with the charterer. We substitute this vessel with another vessel we have, the Katerina. You may see that was opening up, it’s not in order not to disrupt charterer service. Because you know we mind a lot relationship we have with our charterers. And because the ship was going in dry-dock, we couldn’t say if ship will spend in dry-dock one week, two weeks or three weeks or four weeks; we couldn’t be precise with the new installation of equipment on board. We decided with these charters to switch their charter to Katerina, the sister ship. And they have the Koulitsa open. So, rightly, you spotted as she was fixed before, until 2019 and this charter was transferred to another ship. And absolutely, this is a beauty of having close relations and the beauty of having sister ships.
James Jang: Okay. One last question. So, you had a lot number of charters roll off and you were able to recharter at higher rates. Are you looking -- what are you looking at in terms of rate increases for this year? Because there is a number of that are up significantly, and there are some that are pretty much the same. Should we be looking at leveling 11, 12,000 for recharters for the year or do you think that number could go higher as we move into the second half of the year?
Unidentified Company Representative: Yes. The second half of the year, we expect to go higher. You see sometimes we have ships that we’re able to charter them as high as $14,000 a day for periods of six months or for a year. It all depends when -- if the ship is very modern and when does the open, if it’s a good period of time in the chartering market. I mean, in March, we would be able to fix ships $14,500 for one year; in April, we could hardly find $12,500 for one year. So, the market is very volatile. So, when we’re about let’s say month or about two weeks spend, we keep the ships in the spot market, we employ them at lower rates, maybe $12,000 or 12.5. When we have the opportunity and we have a good delivery position and the market is running, we may go for one year at 14.5 or 6 months up 14 plus, which are clearly profitable rates and we can show this policy. We are adaptable to what we fix with the ships, where we send the ships and how we play the commercial game. And it’s my area, let’s say -- I wouldn’t say of expertise, my area of interest. I’m doing this for 30 years. So, we’re playing out with positions. And it’s the only source of revenue and you have many source of spending the money and expenditure, but only one source of revenue, the ship owner himself is not pending his time on that one, you cannot outperform the market.
Operator: Thank you very much indeed, sir. Now, your next question from Jefferies comes from the Randy Giveans. And your line is now open sir.
Randy Giveans: Hi. Thank you and good morning and congrats on the positive quarter there. A few quick questions. So, given your stated strategy of kind of using cash from operations to delever the balance sheet, are there some specific milestones you’re hoping to reach with that, specifically a goal, net debt to cap or leverage ratio that you’re pursuing to kind of be successful in delevering?
Konstantinos Adamopoulos: Look, what we want to achieve gradually is how leverage should be below 50%. This is initial target. And the reason we are doing these moves is that we believe that when you’re working with your capital structure in a good market, I mean in a fairly good market, this is an investment for the future. The reason is that we have already done a number of actions including acquisition or sale and leaseback versus last year and preferred, which help the reduction, the substantial reduction of cash breakeven. This is -- nobody pays attention to the good market -- when the market is good to such moves. But, the return is very good. And when the market is bad, this keeps the company to be prepared in any type of charter market. So, we are doing our homework now that the market is good to achieve -- to bring the balance sheet in such a position that we will be able to withstand any future crisis. So, we don’t want to negotiate with banks, we don’t want to do reverse splits, we don’t want to go to bankruptcy, we want to have the best balance sheet. And this is our target. And we will continue to pursue it throughout this year. Of course if the market continues to grow as we hope, the policy could change next year.
Randy Giveans: Okay. And then, just another thing. So, there is a pretty big impairment $91 million in 4Q 2017, nothing in 1Q 2018. Do you have think that 4Q 2017 number kind of sets current market prices to no more impairment expected versus this year?
Unidentified Company Representative: Yes. I think we’re done with this aspect.
Randy Giveans: Okay. And then, last question. So, looking at your fleet chart coverage you have 58% of days chartered for the remainder of the 2018. So this is a good mix for you or you are you planning on increasing that and putting more of those stock vessels on charter here in the coming months?
Unidentified Company Representative: Look, I mean, it’s not a particular policy, it all depends on the charter rate. The charters move to $16,000 or $17,000, of course, we will charter out more percentages, but with the percentage if the market stays at that 10,000 or 11,000, which is roughly around breakeven level, we will stay in the spot market before we commit higher value. But there we believe that second half of this year will be better than -- a lot better than the first half, and ‘19 will be better than ‘18 and ‘20 better than ‘19. This is our view of the market, this is how we read it. The fact that we have the trade war, the assumption we made of course is that [audio gap] on this assumption, we expect that the next -- each of the next two or three years will be better than the previous one. This is our expectation and new regulations are in favor of this analysis.
Operator: Thank you very much, sir. Now, your final question from Morgan Stanley comes from the line of Fotis Giannakoulis. Your line is now open, sir. Fotis, your line is open. Gentlemen, I think Fotis may have disconnected, I’m afraid. So, if that’s the case, there are no further questions.
Unidentified Company Representative: So, thank you very much for attending this conference call. And we’ll be [technical difficulty] with you in the next quarter. Thank you to all and have a nice day.
Operator: Thank you very much, gentlemen. And with many thanks to our speakers today that does conclude the conference. Thank you all for participating. You may now disconnect. Thank you, gentlemen.